Operator: Good afternoon. This is the Chorus Call Conference operator. Welcome and thank you for joining the presentation of Brembo Full Year 2023 Financial Results Conference Call. As a reminder, all participants are in listen-only mode. After the presentation there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Laura Panseri, Head of IR. Please go ahead, Madam.
Laura Panseri: Yes, thank you. Good afternoon everybody and welcome to Brembo Group's First full Year 2023 earnings call. Today Brembo's Executive Chairman, Matteo Tiraboschi, will open the call with his introductory remarks. After that, he will be available together with Brembo's CEO, Daniele Schillaci, and the CFO, Andrea Pazzi to answer questions from analysts. During this call, we will discuss our business outlook and we'll make forward-looking statements which are based on our predictions and expectations as of today. These comments are subject to risks and uncertainties that can cause the actual results to be materially different. I also remind you that this call is being recorded. I'd like now to turn the call over to Matteo Tiraboschi, please.
Matteo Tiraboschi: Thank you, Laura. Good afternoon everyone and welcome back. 2023 was an excellent year for Brembo, a record-breaking year that saw the company continue its growth trajectory, surpassing the already extraordinary results of 2022 and 2021. Let's dive straight into the numbers. In 2023, Brembo’s revenues exceeded €3.8 billion, representing a growth of 6.1% compared to the previous year. Margin and net profit also increased, reaching the highest absolute value in Brembo’s history. We take pride in this achievement, especially considering the challenging global market conditions that continue to pose complex challenges to businesses. As a further confirmation of Brembo's performance in 2023, I want to highlight additional positive indicators. We recorded an operating cash flow of nearly €310 million. Additionally, we further reduced the debt by over €47 million, despite an acceleration in investment that nearly reached €433 million. Investing remains a strategic priority for us to fuel Brembo's future growth. We will go inside this aspect in more detail shortly. Staying on the numerical side for a moment, I'd like to add another significant data. All the countries where we operate experienced growth, also China, excluding currency effect. Brembo's extensive presence in all the key markets globally for our industry is crucial, as we aim to balance Brembo's business more evenly among the three key regions, Europe, Asia and America. Turning to more strategic considerations, I want to emphasize the importance of the investment mentioned earlier. In 2023, we announced an investment plan of over €0.5 billion to expand the group's global industry presence with projects in Mexico, China and Poland. This was complemented by the extension of production capacity for the Brembo SGL Carbon Ceramic Brakes joint venture in Germany and Italy. This investment supports the group's global growth strategy, crucial to effectively meet the increasing demand for our solutions in the market. Following this path, 2024 started with another significant industrial investment announcement. We are entering Thailand with a new production site dedicated to the motorcycle market, opening up new business opportunities in the Southeast Asia region. Our goal is to ensure that the Brembo continues to grow and maintain its leadership role in the global automotive market. To support this goal in 2023, we initiated the process to relocate the company's registered office to the Netherlands. The operation, effective from April 24th, allows us to adopt a more flexible share capital structure that is more consistent with the company's future development strategy. I want to reiterate that this operation does not impact personal, business, identity, culture or Brembo’s presence in Italy and the areas where we operate. Brembo will retain its fiscal headquarters in Italy and will remain listed on the Italian stock exchange. Moving to the heart of our strategy, we are particularly focused on sizing the opportunities offered by artificial intelligence. While the world is becoming increasingly familiar with the practical application of AI in everyday life, Brembo has long been engaged in guiding its developments within the rather ongoing digitalization in the automotive sector. Central to this strategy is SENSIFY, the first intelligent braking system which continues to receive positive feedback globally. Furthermore, with our new unit, Brembo Solutions, we are offering solutions derived from our direct experience in artificial intelligence applied to the industrial world, not only in the automotive sector. We are committed to leading Brembo's evolution and focus on guiding our customers' growth and the transformation of the automotive sector. In this journey, the strength of our group enabled us to cite the growth and innovation opportunities that the most ambitious challenges present. To conclude and provide you with our forcible outlook for 2024, based on the order portfolio and bearing significant changes in the current macroeconomic and geopolitical context, Brembo anticipates mid-single-digit revenue growth for the current year compared to the previous year. Thank you for your attention. I now hand it over to Laura.
Laura Panseri: Thank you, Operator. We are ready to answer questions. Thank you.
Operator: Thank you. This is the Chorus Call Conference Operator. [Operator Instructions] The first question is from Monica Bosio with Intesa SanPaolo. Please go ahead.
Monica Bosio: Good afternoon, everyone. Thanks for taking my questions. I hope you can hear me. I have actually four questions. The first is on the mid-single-digit growth target at the top-line level. Can you discuss the main drivers behind this target in terms of region and what kind of growth do you expect from China and NAFTA for this year? Maybe also on the Eurozone. The second question, as a matter of fact, is on the margins. The company did not release the guidance on the margins. I'm just wondering if we should expect a flat trend as the group has still to face the ramp-up cost of the investments or maybe on the back also of the raw material tailwinds, there's room to do a little bit better. The third question is on the CapEx, which was higher than expected in 2023. Can you please give us any indication on 2024? Can we imagine something similar? And the very last is on the Sensify. You say that the tests with the clients are going very well. Can we expect some news flow in the first part of the year as for further contracts on the Sensify? And if yes, can we imagine that this contract will be related to platforms with high volumes? Thank you very much.
Daniele Schillaci: Okay. Thank you, Monica. I am Daniele. Hi. So, regarding your four questions, let's start with the first one. The main driver for the meeting your digit is that if you look at our history, we try always to overperform the market. And the market assumption in 2024, more or less, I would say, is more or less an equivalent across the region is that the market based on the socialist forecast, the company, is meant to be flat in 2024 versus 2023. And this is a bit what we see today. Of course, we are in the beginning of the year. We have still time, indeed, to see how the evolution will be in different areas. But today, indeed, the assumption is that the market is flat versus last year. Hence, by doing a middle digit growth, de facto, we keep overperforming the market. Regarding the margin, it's our custom to give you this indication during the Q1 call. So, I will ask you just to have a couple of months of patience. I will give you more indication, indeed, on the margin structure. Regarding the topics, indeed, 2023 has been extremely rich in investment. This is a confirmation that in our company, we keep investing for sustaining the new product. But also, thank God, to expand our production capacity, especially in some areas like Mexico, Poland. But to your question, the CapEx in 2024, our forecast this year is around €350 million.
Monica Bosio: 350?
Daniele Schillaci: €350, exactly. And for Sensify, Sensify we are adding indeed always permanent contact with the major premium OEMs. And indeed, our target, as you correctly say, is to give you some updates as a part of the year with new contracts. This is something that we are working hard. And I hope that I will be in a position to give you some good news, indeed, now in the second part of the year.
Monica Bosio: And excuse me, are these contracts or could these contracts be related to platforms with high volumes or niche platforms, if I may ask?
Daniele Schillaci: Yes. Of course, we have many OEMs where you have some of them that are a bit more, let me say, on the top hand of the premium. But we have, I would say, a good panel of OEMs where they see Sensify as a main contributor on the large volume platform. So, we are talking about both sides, large volume and I would say volume platform, let me say. It will not be a niche, just to say. Probably the niche will come after that we are going to assign several large volume platforms, but it is in the second moment, probably.
Monica Bosio: Okay, thank you very much, Daniele. I come back to the queue.
Operator: The next question is from Andrea Balloni, Mediobanca. Please go ahead.
Andrea Balloni: Yes, good afternoon. Thanks for taking my question. Some follow up. The first one is on China, where some European players are losing market share so far. What do you expect for this market in 2024 and which are the main trends you expect for this year for both European players and local players? And my second question is again on Sensify. This will be sold starting from 2025, you mentioned in the past, but can you give us some more specific color, for instance, about the order backlog you have so far or how many clients have already put an order on that? And my last question is again on CapEx. If you can give us an idea about the level of maintenance CapEx and the incremental CapEx out of the €350 million you are guiding for 2024. Thank you.
Daniele Schillaci: Okay, thank you, thank you Andrea for your question. So, regarding China, yes, China, if we look at the production forecast in China in 2024, it's foreseen to be very, very close to 30 million units. That will be probably the record high in terms of production, the record high in China. Of course, this concern revives all the OEMs, local and of course a non-local international one. Thank God, I would say our customer base is becoming more and more a mix of the traditional OEM and the new OEM and new local OEMs. Hence, the fact that if the Chinese market will grow more than what we think, I hope, in China in 2024, we should clearly follow these trends. So, first, China is an area where we don't see any, let me say, countertrends or adverse trends versus what you've seen in the last three, four years. So, we should keep growing with the trust net and also with the local player. And also, in China, our mix of EV platform is also increasing lately. This is what I can say regarding China. Regarding Sensify, I just reiterate what I said before. So we have one important contract signed. We are testing the technology with many, many OEMs across the world. It's not localized in one specific region. So, the interest of Sensify is across the region. The tests are, I would say, going quite well. And we hope that we can give you some important updates now by having you here with new customers. The maintenance CapEx, until now, the maintenance CapEx has been around €60 billion, but given that now we are approaching our €4 billion in terms of turnover, and we are growing, this year the maintenance CapEx is proceeding to be on a range of €65million €70 million.
Andrea Balloni: Thank you.
Daniele Schillaci: You're welcome.
Operator: The next question is from Martino De Ambroggi, Equita. Please go ahead.
Martino De Ambroggi: Thank you. Good afternoon, everybody. My first question is on the top-line growth for 2024. Should we assume your mid-single-digit growth is essentially volume growth with prices, I don't know, positive or negative, and Forex in neutral, or you have specific assumptions on items which are not volumes? This is my first one.
Daniele Schillaci: So Martino, I would say that the top-line middle digit is clearly on the volume growth. Don't forget that we have five business units, and two of them are growing quite well. For example, the aftermarket. I would say also the racing activity is growing quite well. And if you look at also all the books that we have on the passenger car, on the motorbike, I would say that if we take a business table, the impact of the growth will be mainly driven by volume.
Martino De Ambroggi: Okay. So, prices will be roughly neutral in your assumption?
Daniele Schillaci: Pricing, you might have, indeed, because of the contract that we have signed with [Indiscernible]. Still in 2024, some impact, but it's, I would say, manageable. It's not so relevant.
Martino De Ambroggi: Okay. The second question is focusing on CapEx, because at the beginning of the year, you guided for €300, and you ended the year with €430. So, just to understand what caused such a huge increase, I understand SGL, you mentioned, but SGL is not consolidated line by line. So, just understand the €130 million additional CapEx, where they come from. And if you could, very, very roughly split the €430 plus €350 in terms of Mexico, which should already have started production, China and Poland, just to have an idea, because you had €500 million CapEx planned, but you probably will finalize it in two years instead of three.
Andrea Pazzi: Okay, Martino. On that one, what I can tell you is that one of the factors that influenced, indeed, this growth of CapEx this year, in 2023, was also the acquisition of our new head office, [Indiscernible]. As you know, it is something that happened in August last year. Regarding also the investment that you mentioned to Mexico, to Poland, there was also an effect of anticipation of investment that we were forced to do this year. And this increased, indeed, our CapEx from the original target. I would say that the combination of these two factors, one new, that is something that is not related to business, the building, and the other that is strongly linked with the volume growth, are the ones that had, I would say, the biggest influence on this gap between the target and the final numbers on the CapEx.
Martino De Ambroggi: And on the Mexican plant that should already have started production, what is the contribution expected in your mid-single-digit growth in 2024? Just to understand if it is meaningful or residual.
Andrea Pazzi: It is really hard to say, Martino, honestly speaking. To give you a precise number is a bit complicated. It will have an impact.
Martino De Ambroggi: Okay, but when did it start, the production, exactly?
Andrea Pazzi: It started in the second half of 2023, so 2024 will be from speed. Relatively from speed.
Martino De Ambroggi: Because if I have a correct estimate, the contribution once it is full on speed should be roughly €100 million of additional sales.
Andrea Pazzi: Well, it will be full speed with, of course, the customer demand in front of that. You are right, the magnitude is wrong what you say. But not in 2024.
Daniele Schillaci: [Indiscernible] It's not like for a disc that you start from day one and you have full capacity. For the speed system division, it's more modulable.
Martino De Ambroggi: Yes, that's clear.
Andrea Pazzi: The rough up to date time is different.
Martino De Ambroggi: The last question is on the last CapEx you announced in Thailand. Am I right in assuming that this could add €30 million €40 million in terms of sales once fully on stream? And I suppose this is just the first step for additional expansion in that area.
Andrea Pazzi: Because you follow the rule of €1, €1, right? And of course, the estimation is…
Martino De Ambroggi: Slightly less than €1 million.
Daniele Schillaci: Let me say like this in Thailand. Thailand is a very good story because it's our first plant in Asia. In Asia, it's a market where it's totally in line with our mission to become a solution provider. Because this plant will serve the customer, the motorbike customer that are building locally. And this will have also a big impact on following the role of our customer, providing them the best service. And in this market, Asia, the roles of the two wheels is quite interesting. And I'm sure that we can also think about something as a complement. Not only following our year to do something else, but also to grasp the opportunity that there is in this market. For example, in aftermarket or whatever. So, this is a very new experience for us. But we are very excited about that. I'm sure that our market share in the Asian country with this footprint will clearly grow in the next 4-5 years.
Martino De Ambroggi: Thank you, Daniele.
Daniele Schillaci: You're welcome.
Operator: The next question is from Giovanni Selvetti with Berenburg. Please go ahead.
Giovanni Selvetti: Hello, everyone. Can you hear me?
Laura Panseri: Yes, we can hear you.
Giovanni Selvetti: Thanks for taking my question. So, the first question is again on the guidance. If you maybe can give us more color about different end markets. For example, in the last conference call, you said that motorbike, especially from May onwards, in some regions was suffering. And if I do the math, it implies inflection in the fourth quarter of 2023 was down 40%. So, what's going on there and what do you see in 2024? The second question is on the profitability achieved in the last quarter of the year, which was really high. It implies EBITDA margin of 17.8%. And I can see you recorded other revenues for $22 million in the last quarter, which compares to $23 million in the nine months. So, if you can please provide some color on what are these other revenues. And maybe the last one is around 65 [ph]. I was wondering if the current slowdown in light vehicle production may delay again the launch or if you confirm for the first half of 2025.
Daniele Schillaci: Okay, so on the guidance, as I said before, if you look at the market forecast across the three regions, with probably the exception of China where we see some, at least the forecast company I'm seeing this growth compared to 2023 is relatively flat. So what we think is that it will depend of course on our customer performance region by region, but our mid-single digit growth will be, I would say, almost equal across the region. Regarding the motorbike, you are right, motorbike 2023 was not really on fire, let me say like this. The main reason is a couple of our very important customers indeed didn't really perform like we were expecting. And on the last quarter, there was also a matter of performance. That's why about your comment, you see indeed on the motorbike some further performance on the Q4. So thank God, we are seeing at least in terms of forecasting 2024, a reverse trend of those customers and I hope that in 2024 the performance will improve, hence we can follow also the trend. Regarding the second question, maybe Andrea can take this one.
Andrea Pazzi: Yes, regarding the profitability on the last quarter, of course it was something predicted by us and expected. In fact, the third quarter was the one affected by lower marginality even for some ramp-up cost. In the last quarter, we have disappeared and so the full year was in line with 2022 and with our guideline and 17.3%.
Daniele Schillaci: Can you repeat your third question? We didn't get it 100% please.
Giovanni Selvetti: Yes, so the one on profitability was also asking what are these €22 million in terms of other revenues which is quite high if you think that it was 2023 in the first nine months. Mainly you did in the quarter what you did in the first nine months. And the last was on Sensify. I was basically asking if because light vehicle production is slowing down, if that means that Sensify will be postponed or if we can still think about the first half of 2025.
Daniele Schillaci: I understand. Regarding Sensify, of course we follow the SOP of our customers. Today the SOP is still in line with what I told you last time, meaning around the end of H1-25. That's what I can say. So there is no delay on that so far. Regarding your €22 million, Andre.
Andrea Pazzi: Within the other revenues, there are even contributions we receive in several different forms around the world for R&D and other contributions that are booked in such lines. So usually more detail and fine tuning of the numbers are at the end of the year and this year they are bigger than the previous one.
Giovanni Selvetti: Okay, thank you.
Operator: The next question is from Gabriele Gambarova, Banca Akros. Please go ahead.
Gabriele Gambarova: Yes, good afternoon and thanks for taking my questions. The first one is on networking capital. It absorbed over €76 million in 2023. So I was wondering if you could elaborate a little bit more on this item and what do you envisage for 2024. The second is on your capacity increase. You covered Mexico. The operation started in H2. So, I was wondering when the new capacity will start in China and Poland, if you could remind me. The third one is on pricing. I understood you expect it to be neutral or even a little bit negative. I have to say I struggle to understand the slides because when you speak about the bridge of revenues, pricing at slide 4 gives a positive contribution of €2.3 million, but then when I look at the bridge at slide 8, when it comes to BDA, the contribution from pricing is positive by 64. So, I was wondering if you could explain this. Thank you.
Andrea Pazzi: Regarding working capital, yes, of course, a very good year. We closed positive by 76.9%. Reason, usually the seasonality on our net working capital is positive at the end of the year. So, in this last quarter, nothing particular compared to the same quarter of last year. The last quarter of last year was even better in absolute value, but for this year, we have in addition a lot of CapEx, as mentioned before by Daniele. In the last quarter, the CapEx was €180 million, and you can imagine that the last part of this, almost €70 million, €80 million, really at the end of the year were not paid. So, payable for the CapEx increased or reduced the net working capital. Additionally, we recover an extraordinary contribution for VAT that we suffered during the end of last year and beginning of 2023 for the CapEx in particular. So, we got back the money from the government in Poland and in Mexico for VAT, more than €15 million for this part. And that's all mainly because the stock is really aligned to the end of last year with no particular barriers during the year compared to 2032 where we suffered during the year an increase of the stock. For 2024, difficult to predict right now, but for sure we will have the reverse of the CapEx not yet paid at the year end. So, we'll have a negative impact by €70 million, €80 million for this part. And for the rest, the usual flow as according to our seasonality, considering the expected growth, mid-single digit of the revenues.
Daniele Schillaci: Regarding the capacity increase in the Poland, as we said also last time, we should foresee a start of production around H1 2025. This is what we expect. And in China, it will be the second part of 2025, I would say, with a ramp-up and 2025 early in 2026.
Operator: The next question is from Gianluca Bertuzzo, Intermonte SIM. Please go ahead.
Gianluca Bertuzzo: Good afternoon to everybody. I have a couple of questions. The first one is, can you explain your volume and mixed growth of 8% in 2023 compared to a global auto production that grew double digit? The second question is on M&A. Any update here? Thank you.
Daniele Schillaci: So, regarding the M&A, we don't have any news to communicate. And regarding the volume, indeed, on the volume, our growth includes, I would say, everything, indeed. So, this means that we operate in light commercial vehicles and passenger cars. We operate in heavy trucks. We operate in racing and so on. So, it's very difficult, indeed, to follow the growth segment by segment. But in the end, as you correctly noted, our growth has been around 8% in Syria.
Gianluca Bertuzzo: Okay, thank you.
Operator: The next question is a follow-up from Monica Bosio, Intesa SanPaolo. Please go ahead.
Monica Bosio: Yes, thank you. I have two house-keeping questions. The first one is thanks for the detail on the working capital. I'm just wondering if you can give us a rough indication for the net debt level by year-end. And my second question is on the impact of the Forex on the EBITDA. If I look at the slides for the nine months and at the slides for the full year, in the nine months, the Forex impact was negative on the EBITDA by roughly €13 million. At the end of 2023, the impact of Forex on the EBITDA was positive for roughly €22 million. I'm just trying to have an explanation on this. Is this due to the devaluation of the Mexican pesos or is there another reason? And another housekeeping question is on the financial charges that net of the Forex impact will record a significant growth. Have you any indication for 2024, please?
Andrea Pazzi: Okay, starting from the last one, financial charges. For the part related to net interest debt, we expect a rate around 3.5%, so less than the market. Of course, part of our debt is valuable and part is fixed. But this is our expectation for the full year. For what concern the exchange variances within the financial charges, difficult to predict at the moment. We don't have an indication for this part. Regarding the Forex, the EBITDA, I don't understand your numbers because according to our slide, the last quarter is negative by €9 million and in full year by €21.9 million. So negative even in the last quarter. Which are the currencies? All means we have three currencies where we produce but we don't have sales. And these are [Indiscernible] zloty, Mexican pesos and check round. These three currencies were appreciated against euro compared to the last year, so increasing the cost and so reducing the EBITDA. While the currency where we sell, so U.S. dollar, Chinese RMB, Indian rupee, depreciated against the euro, so we sell this currency, even if we produce, but the sales and the margin were depreciated by the devaluation of this currency. So in total, the result of the fourth quarter is minus €9 million.
Monica Bosio: Okay, I will do a check and maybe I will send you the two slides between 9 months and 2023 just for a follow up. Thank you.
Andrea Pazzi: Okay, regarding the first question, the international position of the next year, at the moment we prefer to wait to give you some guidance regarding the marginality and together with this in the next time we will provide even the guidance for the debt.
Monica Bosio: Yes, I understand. Thank you very much.
Andrea Pazzi: Thank you.
Operator: The next question is a follow up from Martino De Ambroggi, Equita. Please go ahead.
Martino De Ambroggi: Yes, thank you. Again, on CapEx, could you quantify what is specifically for coated discs, the portion of CapEx you had last year and you expect going forward and still on coated discs, when do you plan to start the sales in size, so not just a few pieces?
Daniele Schillaci: Martino, and as you know, we don't provide this split on the coated discs investment that we do because we judge that this is a kind of relevant information for our competitors. Regarding the customers, on that I can tell you that we have indeed a contract signed with customers about the coated discs and you should expect the first OEM going into production around the second half of 2025. And there will be orders, OEMs, because you have several contracts on the coated discs that will go on production at the beginning of 2026. So on 2026, we should see quite an interesting volume on the coated discs, starting by mid-2025.
Martino De Ambroggi: Okay, thank you. I understand we need to wait a couple of months to understand the trajectory for the EBITDA margin. But consensus [ph] is not expected a decline in profitability in terms of percentage of sales. Is there any element we should take into account preventing us to believe this is the right way to expect EBITDA in 2024?
Daniele Schillaci: Martino, I think that just a couple of months of patience will give you more information about that.
Martino De Ambroggi: Okay, we wait and see. Thank you.
Operator: The next question is a follow-up from Giovanni Selvetti, Berenburg. Please go ahead.
Giovanni Selvetti: Hello, hi. Just a follow-up on the buyback. You authorize a maximum of 8 million ordinary shares. So if you can please provide an indication of when this should be started, or if it's just the flexibility to do that, but you're not thinking of doing that in the coming months?
Andrea Pazzi: This is the standard authorization we require to the General Assembly. In fact, it's exactly the same numbers with the same value of last year and two years ago. So no particular forecast for the next month for the buyback action, but we still keep open for the future.
Giovanni Selvetti: Okay. Thank you.
Operator: The next question is a follow-up from Gabriele Gambarova, Banca Akros. Please go ahead.
Gabriele Gambarova: Yes, thank you again. I was wondering if the operational item in the EBITDA bridge for 2023 was negative by €69 million. I was wondering what do you assume, what do you expect for 2024 for this specific item, roughly?
Andrea Pazzi: At this time, of course, it's a bit difficult to say because on these operations, you have also some projects that we are financing. For example, like the IT project, we have some R&D, we have some also marketing investment that, of course, are investments that we will keep doing in 2024. So, honestly speaking, we work harder to make these numbers better in 2024. This is what I can tell you. Keeping our, of course, investment that we need anyhow to do because they are planned, but probably in some area now we can make a bit more efficiency and we will do our best to make these numbers look a bit better. But it's very hard to give you a bit more information on that.
Gabriele Gambarova: Okay, understood. Last question from my side. In terms of perception in the market arena, do you perceive, do you see your clients becoming a little bit more, let's say, putting pressure, let's say, on pricing? Do you see more stress on this front? I mean, given that the market is almost flattening, do you see any consequence of this trend or is it as usual?
Daniele Schillaci: Well, in the end, of course, the OEMs are always there, they are the target cost and, of course, by definition, they are always, let me say, very challenging. But in the end, if you ask me, there is a big escalation in terms of aggressivity. And I cannot talk about aggressivity, but clearly, I would say our relation with the manager our customer, our relations that are there since decades, we know very well each other and they know that indeed our product, when you talk about Brembo, [Indiscernible] they are products with high quality and high performance. In the end, we always have a kind of, let me say, strategic conversation on the product before jumping to the price. When it's about the price, of course, we negotiate, but this is what we have been doing for many years. Of course, when the war occurred with the raw material and energy concept, of course, there was, and we talked a lot in our call about that, some extraordinary conversation on that. But we think that in Brembo, we structured very well the process and also in this extraordinary moment, we managed to have a, I would say, transparent and very direct conversation with them to the point that we recovered all the costs related to these topics. But this is what I can say.
Gabriele Gambarova: Thank you very much Daniele.
Daniele Schillaci: You're welcome.
Operator: Gentlemen, there are no more questions to be answered at this time. I turn the conference back to you for any closing remarks.
Laura Panseri: Okay, thank you ladies and gentlemen for attending our call today. We wish you a pleasant rest of the day. Bye-bye.
Daniele Schillaci: Thank you. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining the conference. It's now over and you may disconnect your telephones.